Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro’s Third Quarter 2022 Results Conference Call. Today with us we have Mr. Mariano Bosch, CEO, and Mr. Charlie Boero Hughes, CFO. We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the company’s presentation. After the company’s remarks are completed, there will be a question-and-answer session. At this time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro’s management and all the information currently available to the company. They involve risks, uncertainties, and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Adecoagro, and could cause results to differ materially from those expressed in such forward-looking statements. Now, I will turn the call over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference.
Mariano Bosch: Good morning and thank you for joining Adecoagro’s 2022 third quarter results conference. First, I would like to give you a brief update on our distribution policy. Next week on November 17th, we will be paying the second installment of our cash dividend in the amount of $17.5 million. The total cash dividend of $35 million distributed during 2022 is approx $0.32 per share. In addition to this, we continue buying shares under our buyback program. During the first 10 months of the year, we repurchased 3.6 million shares totaling $29 million. Now going into the highlight of our operations, I will start with sugar, ethanol and energy business. We entered this quarter with good sugar cane availability, agricultural productivity indicators recovering from 2021’s frost event, enough storage capacity to carry over our production until year end if needed. We started the quarter crushing at full speed and later during August and September we received very good range, improving yield expectations, but slowing down our crushing pace and reducing our volume in 10% year-over-year. It was because of this lower volume and higher costs that adjusted EBITDA during the quarter went down by 20% year-over-year. But let me point out that the cane that we were not able to process this quarter is being transferred into the following quarters. This will secure our continuous harvest model and we will be crushing cane with an even better productivity outlook. During the quarter, prices were pressured, especially the price of hydrous ethanol, but we were able to adapt our production mix and our commercial strategy to favor the products that offer the premium. We focused on selling sugar and exporting anhydrous ethanol, which have a premium of more than 15% versus the domestic market. At the same time, we built inventories of hydrous ethanol and used our own bagasse of fueling to dehydrate and turn it into more anhydrous ethanol. We are one of the few players that can benefit from exporting anhydrous ethanol to Europe because we have the necessary certifications and the industry capacity to reach the product specification required there. The high flexibility of our assets and our ability to sell into the domestic and export market is a very important competitive advantage for us, especially in times like this when we experienced sudden changes in the market outlook of all the different products we are producing. Now, moving to our farming business as already seen in the previous reports we finished 2021, 2022 harvest season with an adjusted EBITDA reduction for our crops and rice business and an increase further [indiscernible] At the present time all our teams are fully focused on planting activities for the new season. Although conditions started dry in some of our regions, we are advancing very well in all of our plantations and we are in an excellent situation to maximize yields in all of our production for 2022-2023 harvest season. Being so well diversified in terms of geography and products allow us to extend the planting and harvesting window and mitigate weather risks. Regarding our land portfolio, as every year, Cushman & Wakefield conducted their independent appraisal and they valued it 2.5% above last year. Finally, in October we celebrated a record of 20th anniversary. This was good opportunity for us to reflect on our journey. Since inception, we have been convinced of our mission of producing food and renewable energy under a sustainable production model. We are proud of the work we have done in our four business segments, which are a great example of low cost production with a positive carbon balance. At the same time, we continue to create job opportunities and contribute towards the sustainable developments of the regions where we operate located in the interior of Argentina, Brazil and Uruguay. Because of the natural advantages of these regions, we can produce more with less. On top of this, our sustainable production model allows us to make an efficient use of water, care about the land and the environment, be a source of carbon credit and transform by-products into bio inputs used in our own operations. These are a few examples of the things we do and together with our ESG committee that oversees all our developments, we continue enhancing our sustainable production models. Lastly, thank you to all our employees and stakeholders for being part of this journey. We are excited about the opportunities ahead and motivated to continue taking steps in this direction. Now let’s go into the numbers of the quarter. Charlie, please.
Charlie Boero Hughes: Thank you, Mariano. Good morning everyone. Let’s start on Page 4 with a brief analysis on the rains in Mato Grosso do Sul. As seen on the top tables, rains in our cluster during the third quarter of 2022 were four times higher than during the same period of last year and 28.8% higher than the 10-year average. Moreover over year-to-date rains receded at 22.9% increase compared to the same period of last year. This favored the development of our sugarcane plantation, hence improving its productivity outlook. However, the uneven distribution of rains during the quarter impacted our harvesting and crushing activities as we will see next. Let’s move ahead to Slide 5, where I would like to discuss our sugarcane crushing. Despite having good sugarcane availability and achieving a monthly crushing record of 1.5 million tons in July, increased precipitation registered during August and September resulted in frequent interruptions in crushing activities. The lower use of time led to our sugarcane crushing volume of 3.8 million tons during the quarter, 9% lower compared to same periods of last year. It is important to highlight that the sugarcane left on the ground will be carried into the following quarters with an improved productivity outlook and will ensure the implementation of our continuous harvest model. Being able to crush cane year round is one of our competitive advantages. Most mills enter into the inter-harvest period, which means that they stop crushing activities during summer season, so they have to carry over inventory of the product they believe will be trading at a premium. In our case, we are able to make production decisions and maximize the one offering the highest marginal contribution at all times, in addition to being more efficient in diluting our fixed costs throughout the whole year. On a year-to-date basis, crushing volume reached 7.3 million tons, 24.4% lower compared to the same period of last year. This was fully explained by the dynamics of the first quarter, namely the late start of crushing activities as expected and the fact that harvesting activities in that period were mostly concentrated on reform areas with limited growth potential. Please jump to Page 6 where we would like to walk you through our agricultural productivity. Sugarcane yields during the quarter were 9.4% higher compared to the same period of last year, reaching 65 tons per hectare while DRS content presented at 6.4% improvement amounting to 141 kilograms per ton. On a year-to-date basis, sugarcane yields were impacted but presented a gradual recovery as we expected. During the first quarter of the year, yields were 40.9% lower year-over-year due to the impact of 2021’s adverse weather. In the second quarter, they were 24.5% lower, but during the third quarter, yields improved 9.4% year-over-year. TRS content in turn reached 129 kilograms per ton, flat compared to the same period of last year. Let’s move ahead to Slide 7, where we would like to discuss our production mix. During the quarter, process of ethanol experienced significant changes in light of new regulatory measures related to a temporary reduction in federal taxes and of adjustments in domestic gasoline prices to reflect international parity. Our production mix reflected these changes in order to consistently maximize the product offering the highest marginal contribution at all times. At the beginning of the quarter, we maximized anhydrous ethanol, followed by hydrous ethanol, and lastly sugar. By mid-quarter, sugar prices surpassed hydrous ethanol and by the end of the quarter, they surpassed anhydrous ethanol, effectively becoming the most attractive option. This high degree flexibility constitutes one of our most important competitive advantages since it allow us to make a more efficient use of our fixed assets and profits from higher relative prices. On average, during the third quarter, anhydrous ethanol in Mato Grosso do Sul traded at 19.8 cents per pound, 8.5% premium to sugar while hydrous ethanol traded at 17.3 cents per pound, 5.0% discount to sugar. At last, we diverted as much as 60% of our TRS to ethanol to profit from higher relative prices. To further take advantage of price premiums, 57% of our total ethanol production was anhydrous ethanol, most of which was exported to Europe at attractive prices. We are one of the few players which have necessary certifications to export Europe and industrial capacity to meet product specifications. Year-to-date, we diverted as much as 69% of our TRS to ethanol. The product trading at a price premium. Although production of both ethanol and sugar was lower as a consequence of the reduction in crushing volume, this was offset by higher average prices which we were able to capture attractive prices, thanks to our high inventories at the start of this year. Let’s please turn to Slide 8 where we would like to discuss our selling volumes and average selling prices by product. As you can see on the left chart, year-to-date, ethanol reported an 8.7% increase in selling volumes to 385,000 cubic meters, mostly driven by an ethanol sales, which increased by 43%. Lower average selling prices were at 22.8% year-over-year to 22.7 cents per pound, thanks to our commercial strategy of clearing out tanks at the peak of prices and our flexibility to send to domestic and export market. We will go into more detail in the following slide. In the case of sugar, there was a 41.5% decrease in volume, which partially offset the 13.7% increase in average selling prices. Lower volumes sold were driven by lower production due to both lower crushing and lower mix. It is worth highlighting that sugar continued to trade at stable levels throughout the quarter even though Brazilian mills switched to maximize production of these products. This was so because Brazil was the only region at the time with available sugar to meet global demand. And average selling volumes were down 27.2% year-over-year, driven by lower average selling prices coupled with a decrease in selling volume as a consequence of lower crushing and of our commercial decision to use our bagasse to dehydrate ethanol. Regarding carbon credits, let me remind you that due to the efficiency and sustainability in our operations, ranked among the highest in the industry, we have the right to use carbon credits every time we sell ethanol. Year-to-date, we sold 457,000 CBio, 24.2% higher than the previous year and an average price of $0.18 cents per bio. We do not speculate on CBio’s prices, but rather sell our credit as we generate them. In fact, prices were volatile throughout the year impacted by regulatory changes in the underlying product. For example, prices reached peaks as high as $40 per CBio, which we were able to capture. Please jump to Page 9, where I would like to walk you through our anhydrous ethanol sales through the year. As previously mentioned, during the third quarter of 2022, hydrous ethanol sales prices in Brazil experienced downward pressure and hydrous ethanol in the domestic market also experienced a decrease in prices are seen on the graph, although demand remains stronger due to the 27% mandatory blend with gasoline. However, the export market in particular, remained an attractive outlet for players with the necessary certifications and the ability to meet product specification. In this line, in hand with the switch in our production mix, our commercial strategy during the quarter focused on the commercialization of sugar and the export of anhydrous ethanol, while amounted to 61,600 cubic meters at an average price of 20.9 cents per pound, $771 per cubic meter. At the same time, we built inventory of hydrous ethanol either to be sold at higher expected prices at the latest stage or be converted into hydrous – anhydrous ethanol. On a year-to-date basis, anhydrous ethanol sales were 74.2% higher compared to the same period of last year on higher volume sold abroad at more attractive setting prices rather than in the domestic market. Exports amounted to 82,100 cubic meters at an average price of 20.80 cents per pound, $768 per cubic meter and we have an additional 50,000 cubic meters to export until year end. Please turn to Page 10, where I would like to walk you through our sales. Net sales amounted to $163 million during the third quarter of 2022, 9.5% higher year-over-year. This increase was driven by higher selling volumes and higher average selling prices of sugar and anhydrous ethanol measured both in real as well as in U.S. dollars. Despite the changing price environment observed during the quarter, especially regarding hydrous ethanol, we were able to benefit from this scenario as we adapted our production mix and commercial strategy to favor the products offering a premium. On a year-to-date basis, net sales amounted to $395 million, 7.2% higher year-over-year. Ethanol sales were 40.5% higher compared to the previous year, fully offsetting the 33.5% reduction in sugar sales and 33.9% in energy. CBio’s sales in turn reached $8 million during the first nine month of the year. Finally to conclude with sugar ethanol and energy business, please turn to Slide 11, where I would like to discuss the financial performance. Adjusted EBITDA during the third quarter was $111 million, 9.6% lower year-over-year. Despite higher sales, the decrease was driven by a year-over-year loss in the mark-to-market of our sugarcane fully explained by the impact of lower volume and higher agricultural costs on our harvested cane and by an increasing costs, mostly explained by fuels, lubricants, salaries in addition to the reduction in volume. Results were partially offset by again in the mark-to-market of our commodity hedge position due to a decrease in prices. On a year-to-date basis, adjusted EBITDA amounted to $273 million, $2.8 million higher year-over-year. This was explained by higher net sales, year-over-year gains in the mark-to-market of our sugarcane and of our commodity hedge position and lower selling expenses. Results were partially set by the aforementioned increase in costs. In terms of breakdown, during the first nine months of the year, ethanol amounted for 72% of total adjusted EBITDA generation in the sugar, ethanol and energy business, considering other operating income, while sugar accounted for 24%. I would now like to move on to the farming business, please direct your attention to Slide 13. As of the end of October of 2022, we harvested 292,000 hectares with an even performance of yields successfully completing the 2021 and 2022 harvest season. This amounted to over 1.1 million tons of agricultural products harvested and transported across 10 provinces in Argentina and Uruguay. We’re currently engaged in planting activities for 2022 and 2023 harvest season in which we expect to plant 279,000 hectares, 1.3% lower than the previous campaign fully driven by a reduction in second crop area due to the impact of below average range during the past month. Let’s move to Page 14, where I would like to walk you through the financial performance of our Farming and Land Transformation business businesses. Adjusted EBITDA amounted to $17 million in the third quarter and $73 million year-to-date, 31.1% and 35.9% below the same period of last year respectively. The decline is fully explained by a lower contribution from our crops and rice businesses into the overall result, which fully offset the improved performance in our dairy business. Results were mainly impacted by higher costs and mixed performance of yields and lower rice prices. Now with crop business, we took advantage of a temporary government measure to convert earnings from the sale of soybean at a more favorable FX rate than the official one. This together with higher average prices of most of our crops resulted in higher sales. However, adjusted EBITDA marked at 57.5% reduction compared to the same period of last year. Results were mainly impacted by higher costs in U.S. dollar terms driven by a global inflationary environment, pressing margins by a loss in the mark-to-market of our biological asset, mostly due to a fast harvesting base of corn, which resulted in less volume to be recognized during this quarter compared to last year and by a loss in the mark-to-market of our forward contracts, mostly related to corn. Year-to-date adjusted EBITDA was $30 million, 36.8% lower versus the previous year. This was mostly explained by higher costs in U.S. dollar terms driven by global inflation, an uneven performance in yields compared to the previous campaign coupled with a loss in the mark-to-market of our forward contracts. Adjusted EBITDA in our rice business was $2 million during the quarter and $15 million year-to-date, marking a 23.3% and a 62.6% year-over-year reduction respectively. Results were mainly impacted by lower yields caused the impact of La Niña in some of our rice farms and a 9% decline in prices at the moment of harvest. This resulted in a year-over-year loss in the mark-to-market of our biological assets and in the net realizable value of our agricultural produce after harvest. EBITDA generation was also negatively impacted by higher costs in the U.S. dollar terms, which pressured margins. Moving on to the dairy business, adjusted EBITDA amounted to $9 million during the third quarter and $24 million year-to-date, marking a 29.6% and 22.1% year-over-year increase respectively. In both cases, results were explained by an increase in both volume and average prices and our continuous focus on achieving efficiencies in our vertical integrated operations. Again, results were partially offset upset by higher cost of the U.S. dollars terms driven by the global inflation environment. In the case of land transformation, although no farm sales were conducted, results reflected the mark-to-market of an account receivable corresponding to the latest sales of farms in Brazil, which tracks the evolution of soybean prices. Let’s now turn to Page 16, which shows the evolution of Adecoagro’s consolidated operation and financial performance. On a year-to-date basis gross sales expanded 24.8% year-over-year to $970 million, where as adjusted EBITDA to $327 million marking 11% decline compared to the same period of last year. In terms of production, we harvested over 1 million tons of crops and rice, while our sugarcane crushing volume presenting a year-over-year reduction for reasons previously explained. To conclude, please turn to Slide 17 to take a look at our net debt position. As of September the 30th of 2022, net debt amounted to $816 million, 1.7% lower compared to the previous quarter. The decrease in net debt is fully explained by a $15 million increase in our cash position, which offset the 3.6% increase in our gross debt. It is worth highlighting that as we entered the second semester of the year, we have started collecting income from most of our products sold. On a year-over-year basis net debt was 12.6% higher compared to the same period of last year due to a 15.3% increase in our gross debt position. This was mainly driven by the financing of our inventories, finished goods plus raw materials, which increase $43 million year-over-year, coupled with a $81 million increase in our biological assets versus the previous year. This was explained by our strategy to secure our supply chain as we enter into the 2022-2023 harvest season along with higher costs of inputs. These working capital requirements are being financed by short-term borrowings in our Farming division and attractive rates. Thus short-term debt was 55% higher compared to same period of last year. At the same time, our liquidity ratio reached 1.3x. This clearly shows the full capacity of the company to repay short-term debt with cash balance without raising external capital. We believe that our balance sheet is in a healthy position, not only based on the adequate overall net debt levels, but also on the term of our indebtedness, most of which is long-term debt. Our net debt ratio was 2.1x in this quarter, 6.9% higher than the previous quarter. Thank you very much for your time. We’re now open to questions.
Operator: Thank you. [Operator Instructions] And today’s first question comes from Henrique Brustolin with BTG Pactual. Please go ahead.
Henrique Brustolin: Hi. Good morning everyone and thanks for the space for asking questions. I have two on my side, the first on the sugar and ethanol business. You mentioned in previous quarters that you expected sugarcane crushing volumes to be flat this year and you expect unitary production costs growing in line with inflation. I just wanted to hear on how that stands today – how that stands today based on how your yield and TRS content evolved throughout the crop so far? And also how they impact from the delayed crush in Q3 could affect that? And also on this topic, how are your expectations for 2023 based on the better rainfall levels that you have seen so far in Mato Grosso do Sul. That’s the one sugar and ethanol. And the other one, I just wanted to hear your expectations for 2022-2023 on the crops and rice businesses, especially in terms of how your fertilizer and production costs could advance year-on-year? And how that balances with your yield expectations so far and commodity prices that you are seeing? So these are the two questions on my side.
Mariano Bosch: Hi, Henrique. Thank you very much for your question. I think you are covering a lot of what we wanted to share. So on the first question on the sugar and ethanol, Renato will answer indeed your question.
Renato Junqueira-Santos Pereira: Hi Henrique. As it was mentioned here the last year frost impact a lot our yields for the first semester that we crush in the first semester. And this as a consequence of that, we had a late start of crushing, and also with slow down the crushing pace in the first semester. And once we finished the sugarcane that was affected by the frost, by the end of – by the mid of July. We speed up our crushing pace and we had the monthly record was, it was mentioned before. But then we had a lot of rain in August, September and October. Actually in August it rained more than 200 millimeters that is usually a dry month. So, we had a lot of delay in our crushing pace, which probably we will be crushing less sugarcane this year than we were expecting earlier. We think that we are going to crush is likely lower than last year, but the situation and the out to look for our sugarcane has improved a lot. So yields for the final part of this year is looking great. Actually today we are crushing sugarcane with a yield with more than 80 tons per hectare. And I think that the situation for next year is also very good. Yields look very good for, especially for the first quarter and second quarter of next year. For this reason, we will have a very intense continuous harvest. We’re going to be crushing a lot of sugarcane in the first quarter, which is a good news, because we think that price of ethanol is going to be very good, especially the anhydrous ethanol. And you’ll be able to capture these opportunities. Regarding the cost, I think this year we are going – the factor of the cost dilution that we expect will be lower because of the lower volume of sugarcane crush this year. But next year we are going to be crushing more sugarcane than we were expecting. Actually, we think that we’re going to increase the crushing for next year close to 20%, and then we will have definitely have a lower cost. Then we have this year, we think that we are going to decrease our cost in approximately 11%. Of course, the numerator is going to be a little bit higher in line with the inflation, but the denominator, which is the amount of the sugarcane that will be crushing, is going to be much higher.
Mariano Bosch: Thank you. Renato. Henrique, any follow up questions on sugar and ethanol? Okay.
Henrique Brustolin: No, this is super clear.
Mariano Bosch: Okay, great. So let’s go to your second question regarding the outlook for crops and rice. Today we are in the middle of the planting of crop plant – crops and rice. In the case of rice, we have already planted 90% of our expected area for this year, and it’s all looking great. So in terms of productivity, we can expect as would, as we can as what we’ve done up to now. But of course, what happens from now on until March is the more relevant part of how the crop evolves then on – how the rice evolves. Then on the other crops, the summer crops, corn, soybean, sunflower, peanuts, again, we are in the middle of the planting, or we are more than half of the planted area. All the planted area is an excellent situation. We started the year or the planting season very dry, but now it’s great, and we are advancing very well. So again, we can expect as good research as possible depending on whether going forward. The costs that you were asking, they are pretty much in line with what we saw the previous year. As I mentioned in the last call, the main increase in costs happen in the previous campaign. So this campaign, we are seeing costs in line with what we had the previous campaign. So this campaign, we are seeing costs in line with what we had the previous campaign. And regarding the outlook for the prices again, we are in general for soy, corn, wheat in line or slightly above. And in rice we are particularly optimistic and we are seeing some opportunities. So in rice in particular, we are above last year in our expectation of prices for 2023.
Henrique Brustolin: That’s great. Thanks very much.
Operator: Thank you. [Operator Instructions] Our next question comes from Christian Audi with Santander. Please go ahead.
Christian Audi: Hi, everyone. Thanks for taking my questions here. I’d like to know, what are your thoughts on the federal tax? The whole thing going on for the sugar and ethanol business since the reduction in taxes heard the segment right as the biofuel have lost its competitiveness. And I’d like to know your thoughts about this. Do you expect them to the taxes to come back soon? Is it a problem for maybe next year, 2024? I don’t know. And I’d also like to make a quick follow-up on your answer to last question. You guys mentioned that you expect to cause dilution looking forward. So I was wondering what’s your rationale here since investors sometimes say things regarding a global recession, perhaps, So you guys think that will not be an economic downturn for the next couple of years or so? Thanks.
Mariano Bosch: Okay, let’s take first your initial question regarding the federal taxes and the value of fuels policy. And what is it specifically that we are doing regarding that? So Renato can take that question.
Renato Junqueira-Santos Pereira: Hi, Christian. We think that in this moment that the world is looking for in this moment of energy transition that the world is looking for sustainable energy and energy secured. Any government will recognize their role of ethanol to achieve those two subjects. And I think that was the case since provoke [ph] with a better moments and worse moments, but ethanol was always supported. So we think that’s going to be the case again. But in any case, we are very prepared to export a lot of energy [ph] as you saw in our results this year. We are going to export a total of 134,000 cubic meters to Europe with a premium over 15% compared to the local markets. And we can do, maybe we can do this again if the opportunity is there. Actually, we are increasing our Bonsucro certification in our sugarcane so you have more ethanol to export if the windows open and if that’s the case.
Mariano Bosch: Thank you, Renato. Christian, regarding the second part of your question, I couldn’t understand exactly, but you were asking about the dilution of the costs and regarding that as Renato explaining at the beginning in the sugar, ethanol business, there is a dilution of cost because the increase in volumes we are expecting to increase for next year, almost 20% in terms of volume that the main impact on the dilution of costs and for the rest of the crops as we are expecting yields better than last year, because last year we’re particularly below the…
Operator: And apologies, ladies and gentlemen, it appears we have lost our speaker line. We’ll pause momentarily while we reconnect the speaker’s location. You’ll hear whole music while we wait. Thank you. [Technical Difficulty] And ladies and gentlemen, we appreciate your patience. We have reconnected the speaker location. Please proceed Renato.
Mariano Bosch: Okay. Sorry for this inconvenience. Chris when did we cut off? Have you heard the Renato answer?
Christian Audi: Yes, yes, I did.
Renato Junqueira-Santos Pereira: Okay.
Christian Audi: The answer cut-off when you were saying about yields.
Operator: Okay. Thank you ladies – oh, please proceed, sir.
Renato Junqueira-Santos Pereira: No. Okay. Have you heard the answer on the crops and the dilution of costs because of the increasing yields?
Christian Audi: Yes. Yes. I did. That’s exactly when I cut off. You may proceed. Thanks.
Renato Junqueira-Santos Pereira: Okay. Thanks you for that. So Victoria will read us some questions that are being asked in written by the web.
Victoria Cabello: We received a question from Larry [indiscernible] from Itaú. The question is, thinking about ethanol strategy, can you elaborate a little on the company’s strategy, the off season in the first quarter of the calendar year? Can we assume that given the new tax scenario in Brazil, Adecoagro has adapted is off season commercialization strategy versus previous years?
Mariano Bosch: Okay. Thank you. Renato will answer.
Renato Junqueira-Santos Pereira: Just to clarify, because of our continuous harvest model, we don’t have an off season. Ours is a continuous harvest, so we continue our season, so we will continue to harvest with this very good yields in cane that we are having now.
Mariano Bosch: Hi Larry. So we are very optimist about ethanol price in the short-term, that’s because the crushing in Brazil might be lower than everybody’s expecting because of the rains, it’s raining in all regions of Brazil. Also the auto cycle in Brazil is increasing in a faster pace than initially taught is increasing 5% instead of 3% that everybody was expecting. So price of ethanol has already improved 20% in the past month. So hydrous ethanol now has reached a pirate at the pump close to 7% to 8%, which probably is going to reduce hydrous demand and increase anhydrous demand. So our strategy is to produce as much as anhydrous as we can to sell in the internal and external market. And also all the hydrous that we are carrying to the first quarter. We can dehydrate that transforming anhydrous – hydrous sorry, in anhydrous and selling more hydrous that has a better price. Today is close to $0.20 per pound, the sugar equivalent price. And also as Mariano mentioned, we’ll be crushing in the first quarter and probably maximizing a lot of anhydrous and producing some sugar that is very good in the short term as well because of the premium, the cash premium that is very high right now is close to 5%. So by producing sugar, we’ll be able to capture this price as well.
Mariano Bosch: Thank you, Renato.
Unidentified Company Representative: The audience is telling us that we were cut off before answering the question about the price environment for ethanol and federal taxes. So we’ll answer this again.
Renato Junqueira-Santos Pereira: Sorry. going back to the other question, considering a moment of energy transition that how the governments, how the countries are looking for sustainable energy and energy secured. We think that any government will support ethanol in Brazil regardless, who is the president. That’s the case since the [indiscernible] here in Brazil with better moments and worse moments but always supported. But in any case, we are very prepared to export a lot of ethanol. Actually we are increasing our bone super certification area, so you have capacity to export 20% more ethanol than we exported this year. This year we exported around 135,000 cubic meters if a premium over 15% compared to the local market. So next year you’ll be prepared to export more if the opportunity is there.
Mariano Bosch: Thank you, Renato.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I’d like to turn the conference back over Mr. Bosch for any closing the remarks.
Mariano Bosch: Okay. Now, thank you all for your participation. We are sorry for the technically inconveniences and hope to see you in our upcoming events. Bye.
Operator: Thank you. This concludes today’s conference call. We thank you all for attending today’s presentation. You may now disconnect your lines and have a wonderful day.